Operator: Greetings, and welcome to Kornit Digital Second Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Kelsey Turcotte of the Blueshirt Group. Please go ahead.
Kelsey Turcotte: Thank you, operator. Good afternoon, everyone and welcome to Kornit Digital's second quarter 2020 earnings conference call. Before we will begin, I would like to remind you that forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other U.S. Securities laws will be made on this call. These forward-looking statements include but are not limited to, statements relating to the company's objectives, plans, strategies, statements of preliminary or projected results of operations or our financial condition and all statements that address activities, events or developments that the company intends, expects, projects, believes or anticipates will or may occur in the future. Forward-looking statements are subject to known and unknown risks and uncertainties and are based potentially on inaccurate assumptions that could cause results to differ materially from those expected or implied by the forward-looking statements. The company's actual results could differ materially from those anticipated for many reasons, and I encourage you to review the company's filings with the Securities and Exchange Commission, including the company's quarterly report on form 6-K, filed at May 19, 2020, which identifies specific risk factors that may cause actual results or events to differ materially. Any forward-looking statements are made of this call here for and the company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise except as required by law. Additionally, the company will be making reference to certain non-GAAP financial measures on this call. The reconciliation of these numbers non-GAAP measures to the most directly comparable GAAP measures can be found in the company's earnings release published today, which is posted on the company's Investor Relations site. Before I turn the call over to Ronen Samuel, Kornit's Chief Executive Officer and Guy Avidan Kornit's Chief Financial Officer, I would like to invite you to a virtual fireside chat next Tuesday, August 18 at 10:30 A.M. Eastern Time to further discuss Kornit's acquisition of Custom Gateway and the related market opportunity. This is an RSVP only event. For further information please go to the Investor section of Kornit's website. At this time, I would now like to turn the call over to Ronen. Ronen?
Ronen Samuel: Thank you, Kelsey. Good evening, and thank you for joining us on this afternoon earning call. I hope you and your families are all safe and healthy. Before Guy and I share with you in more detail the results of the quarter, I'd like to highlight the exciting announcement we made earlier today with the acquisition of Custom Gateway, a leading global provider of cloud software workflow solution, enabling on demand fulfillment. This strategic acquisition accelerate our organic development and strengthen our value proposition for brands, retailers and fulfillers in this fascinating area of digital transformation. Our industry is an inflection point, the online channel is booming across B2C and B2B environments, and traditional retail channel are transforming how they operate in order to remain relevant to consumers, while at the same time solving the massive inventory inefficiencies. Destructive moments like this driven by changing consumer habits, create a perfect storm for the accelerated adoption of agile, digital and sustainable on demand textile production. The combination of Custom Gateways software workflow portfolio with Kornit's existing and future technologies will bring to the market a unique end to end solution for on demand production. Together, we will revolutionize how global brands and fulfillers transforming the supply chain into sustainable on demand production to meet consumer needs. We have partnered with Custom Gateway for several years now and have seen the synergy between the two organization, firsthand in share strategic accounts like Printful, DTG2Go and Fanatics. Custom Gateway has over 300 customers globally, including leading brands and retailers like UK largest fashion retailer Next. This is an extremely important next step for us in transforming the textile industry, and we are pleased to welcome the Custom Gateway team to Kornit. Turning to our second quarter results. I'm very proud of how well the team executed. We delivered total revenue of $37.4 million net of $842,000 in warrants related to global strategic account, which represents sequential growth of approximately 44% in Q2 compared to Q1, 2020. This strong results reflect the positive momentum we started seeing in late April, as production sites reopen, and now customers started to responding to the surging demand coming mostly from online channels. We believe that Kornit in the midst of a sharp V-shape recovery. Our visibility into the second-half of the year is as strong as ever, and we remain very confident in the business outlook not only for the second-half of 2020, but into 2021 as well. For the second-half of 2020, we now expect to deliver year-over-year revenue growth in the low teens, and a positive operating profit for the full year. This is an increase to the high-single-digit year-over-year revenue growth we forecasted on our first quarter call, and reflects the significant and building momentum we have in the business. Despite the continued impact of COVID on regular daily routines in certain territories, our global operation are fully operating in line with the safety guidelines of the relevant local authorities. Travel restrictions have been eased in many places, allowing our sales and service personnel to support customers on-site when needed. And all our manufacturing and R&D sites in Israel are fully staffed. Regionally, we had exceptionally strong performance in North America across both new and existing customers. We are also seeing continued growth in Central and Latin America, and believe this region will become increasingly strategic in the coming years, as brands and retailers look to near-shoring and on-shoring as a necessary evolution in their existing supply chains. While there continue to be a lingering impact from COVID in Europe and Asia, the mega trend propelling our industry are similar to those serving as a tailwind in the U.S., and we expect increased demand from this regions as we move through the year. To that end, we are accelerating investment in both regions as we build a larger direct touch presence in the UK, Germany and Japan in conjunction with local partnership. This infrastructure will allow us to accelerate growth and support of our global strategic account as they expand to new territories. From a system perspective, it was another excellent quarter for the Atlas, which is proving to be a huge success across both new and existing customers. Our customers are making significant investments in the Atlas to create new capacity for on-demand fulfillment, in many cases, deploying multiple systems. At the same time, demand for Vulcan Plus is strong, with new customers engage in active conversation with us, and follow-on orders placed in the quarter. These follow-on orders are particularly impressive given the Vulcan Plus was just introduced to the market in the first quarter of 2020. And finally, the Poly Pro. As we shared earlier this year, we expect to release significant technological enhancements to the Poly Pro during the first-half of next year. And we are very encouraged by the building pipeline of customer excited about its unique capabilities. On the direct-to-fabric side, the Presto continued to perform beyond our expectation, with new and existing customers, and we believe we have the best technology in the market to capture a huge opportunity for sustainable on demand manufacturing, in the fashion and home decor market. On the operational and service side, our teams globally are focused on customer excellence, delivering on the numerous large scale implementation, we have place with customer like TSC, Printful, Spoonflower, DTG2Go, Spreadshirt and many others, which will not only generate revenue for the second-half, but we'll also drive growth in ink and supplies in 2021 and beyond. Some of those projects we identified with regional and strategic account in our first quarter call is proven to be significantly larger than we had anticipated, as our customer experiencing a steep growth in orders for on demand proximity short run production. Our partnership with our global strategic account continue to be very strong, and we are successfully working with them on their ambitious growth plan, while expanding globally. We are also seeing good progress with leading global brands on the way to transforming the supply chain, into on demand production for both B2C and B2B business models. These are exciting times for Kornit and for the entire textile industry. The market is shifting in our direction strongly, and we are ready to execute on the massive opportunity ahead of us. Before I turn the call over to Guy, I would like to personally invite you to a virtual fireside chat, we are hosting for our Investor community on August 18, at 10:30 A.M. Eastern Time to discuss the vision beyond the acquisition of Custom Gateway in more detail, as well as more details on our execution plan. Now, I will turn the call over to Guy, for a closer look to the numbers. Guy?
Guy Avidan: Thanks, Ronen, and good evening, everyone. Before beginning the financial overview, I would like to remind you that the following discussion will include GAAP financial measures as well as non-GAAP pro forma results. Our second quarter non-GAAP pro forma results reflect adjustment for the following items, stock based compensation expenses, which totaled $2.5 million, total amortization expenses relating to the acquisitions of intangible assets in the amount of $141,000 and non-cash deferred tax benefit in the amount of $71,000. Adjustment related to COVID-19 pandemic this quarter are non-cash inventory adjustment of $222,000 and warehousing expenses of $100,000. As the company has significant operating lease liability in foreign currencies, we incur foreign exchange gains or losses from the re-evaluation of these liabilities. These gains and losses may vary from period to period, and do not reflect the true financial performance of the company. This quarter, foreign exchange gains associated with ASC 842 were $528,000. A full reconciliation of our results on a GAAP to non-GAAP basis is available in the earnings press release issued earlier today, and on the Investor section of our website. Second quarter revenue net of $842,000 non-cash warrants impact was $37.4 million, a decrease of 17.4% compared to the prior year period, and an increase of 42.8% sequentially. From a year-over-year perspective, we saw very healthy demand for our systems on the part of customers serving online market in the U.S., offset in part by headwind in the fashion and apparel market due to COVID-19 pandemic. Services revenues for the second quarter was $5.6 million net of $120,000 warrants impact. Accounting for 14.9% of total revenues, a decrease of 14.8%, compared to the prior year period and an increase of 45.8% sequentially. The amount attributed to the non-cash impact of warrants in the second quarter was $842,000 or 2.2% of revenues, compared to $974,000 or 2.1% of revenues in the second quarter of 2019, and $564,000 or 2.1% of revenues sequentially. As Ronen, mentioned, it was particularly strong quarter in the Americas, with 66.5% of total revenues coming from that region, 24% from Europe, the Middle East and Africa, and 9.5% from the Asia Pacific region. In the second quarter, we had one customer contributed more than 10% of total revenues, while the global strategic customer contributed 8.8% of total revenues. Our top 10 customers accounted for 59.3% of our total revenues, compared to 44.5% in the prior year period. Moving to profitability. Non-GAAP gross margin in the quarter net of warrants impact was 44.1%, compared to 47.7% in the prior year period, and 33% sequentially. Non-GAAP gross margin in the first-half of 2020 reflect COVID-19-related impact on revenues. Given our expectation that revenue growth will reaccelerate in the second-half of this year relative to the first-half, we expect non-GAAP gross margin to revert to pre-COVID levels of 50% in the second-half of the year, excluding the impact of warrants. On a GAAP basis, gross margin in the quarter was 42.2% compared to 44.3% in the prior year period, and 30.6% sequentially. Moving to our OpEx item, I'll discuss these items on a non-GAAP basis which exclude non-operating charges previously mentioned and highlighted in our GAAP to non-GAAP reconciliation included in our today's press release. As Ronen discussed in his prepared remarks, we expect that we are in the early stages of a V-shape recovery driven by our customer need to transition from analog printing to digital. The systematic change in the textile industry, which we have anticipated for some time now, has been further accelerated by COVID and represented significant market opportunity for Kornit. Accordingly, each of the following line items reflect the headcount investment to build the infrastructure necessary to support the growth opportunities ahead of us. We ended the quarter with 574 employees, a year-over-year increase of nine employees and a sequential increase of only nine. Looking forward, Custom Gateway and other workflow activities will bring approximately 60 additional employees this year, and we welcome them to Kornit. Adjusted research and development was 17.8% of sales, or $6.7 million compared to 11% of sales, or $5 million in the prior year period. Additional R&D cost is attributed to headcount additions. Sales and marketing expenses in the quarter were $7.4 million or 19.9% of sales, compared to $8.7 million or 19.2% in the prior year period. The decline in sales and marketing expenses this quarter is mainly attributed to the absence of trade shows, and reduced travel expenses. General and administrative expenses in the second quarter were $4.9 million, or 13.2% of sales, compared to $3.8 million or 8.3% in the second quarter of 2019. As evidenced by today's acquisition of Custom Gateway, we continue to be active in evaluating M&A opportunities, and some of the hiring and expenses increase in G&A has been done to bolster our business development and integration capabilities to support these initiatives. Non-GAAP net loss for the second quarter was $1.3 million or $0.03 per share net of $0.02 warrant impact. GAAP net loss was $4.6 million or $0.11 per share on a basic basis, compared with net income of $1.9 million or $0.05 income per share for the prior year period. Our non-GAAP financial income this quarter was $1.1 million, as a result of accrued interest on our cash investment. Our GAAP financial income this quarter was $0.6 million. Turning to adjusted EBITDA, for the second quarter 2020, adjusted EBITDA was negative $0.9 million compared to positive adjusted EBITDA of $6.5 million for the prior year period. Net cash used in operating activities was $9.2 million this quarter, mainly due to a $6.8 million increase in account receivable, and an $8.4 million increase in accounts payable offset by $4.3 million decrease in inventory, compared to the net cash used in operating activities of $4.4 million in the prior year period, and $13.1 million net cash used in the first quarter of 2020. Cash balances including bank deposit and marketable securities at quarter end were $237.4 million, compared to $247.5 million as of March 31, 2020. The decrease in cash balances was primarily driven by the year-over-year decrease in revenues and associated net loss, as well as cash used in operating activities of $9.2 million, as previously discussed. Turning to our view on the third quarter and the second-half of 2020. We expect revenues to be in the range of $53.5 million to $57.5 million, and non-GAAP operating income to be in the range of 8% of revenues to 11% of revenues. As has been our practice in the past, these numbers assume no impact of fair value of issued warrants in the third quarter of 2020. Before I turn the call back to Ronen, I would like to highlight the following. First, for the second-half of 2020, we currently expect low teens year-over-year revenue growth, as compared to the second-half of 2019 without warranty impact. Second, as I briefly mentioned, we expect gross margin revert to pre-COVID levels of 50% in the second-half of 2020. Third, total acquisition consideration of Custom Gateway in the third quarter of 2020 is $16.9 million. And finally, for the entire year, we expect to deliver positive operating profit reflecting our commitment to both growth and profitability. I'll now transfer the call to Ronen.
Ronen Samuel: Thank you, Guy. With that, we are ready to open the call for questions.
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions] Your first question comes from the line of Tavy Rosner with Barclays. Please proceed with your question.
Peter Zdebski: Hi, this is Peter Zdebski on for Tavy. Congratulations on the great quarter. You saw one of the highest top 10 customer concentrations in some time, close to 60%. I see that only about 2% to 3% of that growth was your global customer. How much of the rest could we attribute to growth in interaction with the branded accounts? And then I have a follow-up?
Ronen Samuel: Good question. Now what you can see here is that some of those growth coming from big projects that we discussed early in Q1 that materialize during Q2. We see some of the existing customers that are really growing rapidly during Q2, and also in the second-half of the year. We see interesting, also some new customers that are entering to digital and really with big investment into the Atlas, and even into the Vulcan Plus.
Peter Zdebski: Okay. Thank you. And then could you comment or give us some color on how you've seen the consumables trend in the second quarter and so far in the third quarter? How customer consumption has trended or recovered?
Guy Avidan: So Tavy, [ph] as you know, we're not really breaking down between ink and other consumable two systems in the quarter. As Roland mentioned in his prepared remarks, we had very strong demand for systems this quarter.
Peter Zdebski: Thank you.
Operator: Your next question comes from line of Jim Suva with Citigroup Investment Research. Please proceed with your question.
Jim Suva: Thank you very much. Can you help me understand a little bit about, you talked about increased distribution as well as geographic reach. And yet you also announced an acquisition which appears to be a little more software oriented. Are you kind of expanding both efforts geographic and the integration of software? Or is one a little bit higher priority than the other? And then I may have a follow-up. Thank you.
Ronen Samuel: So, those are two different topics. In terms of the acquisition of Custom Gateway, this is a strategic acquisition of technological capabilities that Kornit was looking for few years already. This is by far the best technologies that we found out there. And the aim of this technology is to enable brands and fulfiller to do on demand manufacturing in textile, primarily for apparel and the home décor market. This is super strategic. We are engaging with many brands, that looking now when they are moving online, to move to on demand manufacturing. And this softer capability together with Kornit technology will enable them finally to do real on demand manufacturing and to eliminate a lot of waste and to be able to deliver the products to customer within a short time. So this is in one aspect, of course, we will continue to invest on the workflow side. There's a lot of internal investment within R&D and inorganic that we are looking on top of the acquisition of Custom Gateway. Regarding the expansion or investment in UK, Germany and Japan, those are major territories that we see a benefit to move more into direct touch with our customers. With some of those countries like UK and Germany, we already have our service organization. We are investing more now in sales, business development. Some of our biggest strategic accounts are moving in investing both in Japan, in UK and in Germany. And they expect to get the same level of both presales and post sales directly from Kornit. And this is one of the drivers for this investment. We see a big potential both in Asia Pacific and Japan, and definitely in Europe, in Germany and UK. And this is why we decided to invest more in those territories.
Jim Suva: Great. And then my second question is, with COVID and the challenges with small and mid-size businesses, are you having to find it useful to be a little more generous or flexible, like with payment terms or the way you used to do business before or after? Just I know a lot of small and mid-sized businesses have cash flow difference now versus prior. Thank you.
Guy Avidan: So the short answer is, yes, and we're looking at our customers as our partners and we are talking with them about their future business. And based on their business plan and their forecast, we increased creditors with some of our customers.
Jim Suva: Thank you so much for the details and clarification.
Guy Avidan: Thank you.
Operator: Your next question comes from the line of Brian Drab with William Blair. Please proceed with your question.
Brian Drab: Hey, Ronen. Hey, Guy. Thanks for taking the questions. The top 10 customers, I'm just wondering if you can say anything more, the difference between the group of top 10 customers in second quarter 2020 versus second quarter 2019? Has there been much change in that top 10? And were there any major brands in the top 10 in second quarter 2020?
Guy Avidan: Well, we cannot really be specific, but let's say most of the big names last year are participating in the top 10 this year regarding the brands part, we cannot answer this question.
Brian Drab: Okay. And then, looking at the revenue margin guidance implies you're going to start stepping OpEx back up in the third quarter. I think, just my first rough pass calculations. And I was wondering, is that primarily related to the hiring you mentioned? And that be divided primarily between selling and marketing and G&A? And should both of those line items see increases on a dollar basis in the third quarter sequentially?
Guy Avidan: Yes, we said that we have a plan to grow and obviously we are increasing OpEx. Most of our OpEx and most of the increase is attributed to additional headcount.
Brian Drab: Okay. That’s going to be in H&M and G&A?
Guy Avidan: Predominantly R&D, we discussed that in the previous quarter. We're still investing in growing R&D and as well as mainly H&M, much more than G&A.
Brian Drab: Okay. All right. I'll save the rest of my questions. Thanks a lot.
Ronen Samuel: Thank you.
Operator: Your next question comes from the line of Patrick Ho with Stifel. Please proceed with your question.
Patrick Ho: Thank you very much. And congrats on the nice quarter and the acquisition of Custom Gateway. Maybe Ronen, first off with the acquisition itself, it obviously seems like you're expanding your software capabilities and the workflow solution. And there's excuse me a lot of value added for the big brands and retailers, given what you described. Is that the focus primarily with this acquisition? Or does it also help smaller shops in terms of their inventory management and even on their supply chain?
Ronen Samuel: Excellent questions. There are two main pillars here or main target for the acquisition. One, as I mentioned is to enable the on-demand production for the brands. This is the one pillar. The other target is really enable our customers of the fulfiller for small, medium sized fulfiller to scale up the production. So, automate the production flow from order entry to sending out the products to customers.
Patrick Ho: Great, that's really helpful. And maybe as my follow-up question, you actually had a very strong service this quarter, given all of the disruption out there in the world today. One, what have you had to do to change your ability to service customers, given some of the restrictions still in place, more of the social distancing? What actions have you taken to ensure that your customers solutions are still working and your ability to grow that business over time?
Ronen Samuel: So first, right now, at least in Europe and in the in the North America, our teams are traveling and flying all around and visiting customers. What we have done supporting a customer is remote support, we opened remote support around the clock, follow the sun remote support. We actually managed to support a customer, more than 90% of the cases are being sold in the remote support, and the rest we are doing it by sending our engineers on-site. There's a lot of trainings that we are doing. We encourage customer to have on-site kits, so they don't need to wait for spare parts to arrive and so many, many other activities that the team is doing to enable the customer to meet to be more self-sufficient.
Patrick Ho: Great. Thank you very much.
Operator: Your next question comes from line of Jim Ricchiuti with Needham & Company. Please proceed with your question.
Jim Ricchiuti: Thank you. Just wanted to go back to the investments you're making in the UK, Germany and Japan and see if we can understand a little more about what are the main drivers for that? Is this investment really based on discussions you've had with your customers more recently that require this investment? Or is this just a case of you're feeling a little better about the business environment, you knew these are investments you had to make. And now is the right time to make them.
Ronen Samuel: It's a combination. From one direction of course, we see our top account, strategic account entering and growing within UK, Japan and Germany. And we are working with them day-to-day. On another hand we see existing customers going very fast in those territories. We see big, big potential to grow into new accounts. We just released the Vulcan Plus, the Atlas, the Presto we are investing in new technology taking into more high end technology more productive with more solution. And this requires better engagement from Kornit. And we believe that this will bring better value to our customers and we will be able to accelerate the growth. On top of that we believe there will be benefit on the gross margin side.
Jim Ricchiuti: Okay. And with respect to new customers, and if I heard you correctly, it sounded like obviously you had healthy demand from existing customers. But well, I heard you say that you've also sold Atlas and Vulcan Plus into a new customer or maybe it was customers during the quarter that contributed significantly to revenues. Can you tell us the type of customer this is Ronen? If this is -- is this a brand? Is this someone in the supply chain?
Ronen Samuel: I'll give you one example of the customers, it’s actually is a screen printer. So, really from the analog world, he had a breeze, a small digital breeze. And we started to see that the business is moving into short runs into on-demand and they decided to invest in multiple Vulcan Plus. So, it's a big jump in relative new customer only was breeze. So, we will grow very fast, he is a big analog screen printer.
Jim Ricchiuti: Thank you. And last question. Just maybe you also talked about Poly Pro and significant enhancements that you're planning for the first-half of 21. Is there any more color you can provide on that? Because it sounded like you were fairly satisfied with where you were with that technology. What could this be? Is this potentially introducing this into a larger type of piece of equipment?
Ronen Samuel: So, we addressed it a bit under the previous call. While the technology -- we have the technologies that can print on polyester. We are actually the only digital technology that can print on polyester on dyed polyester and overcome the dye migration. We released this products a year ago and with huge success and we have customers of both multiple system. But during this process we found out that we still have some limitation. In some cases when you're using polyester that is called brushed polyester, the print quality is not good enough. But polyester becoming more of a trend right now, so we are developing solutions to enable a customer to print on dyed polyester on dye a brushed polyester so to cover a wider range of material. So, this is part of the solution. There is other areas of the solutions that we are bringing to the market in the first-half of 2021. And of course, we are planning to expand the portfolio around this important market segment.
Jim Ricchiuti: Okay, thank you for clarifying that for me. Thanks.
Ronen Samuel: Thank you.
Operator: [Operator instructions] Your next question comes from line of Chris Moore with CJS Securities. Please proceed with your question.
Chris Moore: Hey, good afternoon, guys. Yes, just maybe a little bit longer-term perspective. I know, given COVID things are obviously still quite dynamic. Last call, you talked, still kind of talked about the longer-term $500 million run rate goal. Likely, it sounded like it will get pushed a bit. Just curious at this point in time, do you have enough visibility to kind of reframe the timing? And secondly, just given the, kind of where we are in this inflection, wondering if the mix that you were thinking about that 60 to 40, kind of systems to ink and consumables, is that still, when we do get to that 500 is that still likely the mix? Or what's going on in the market change that a little bit?
Ronen Samuel: Thanks for the question. So, first of all, we are in the mid of a very, very sharp V-shape, and we are very confident about the momentum we have in the business. We are very confident about the focus that we gave for H2, about the growth and actually more than that, we are very bullish about 2021. We are bullish about 2021, because I can say that we have a very good line of sight on big projects that are going on already in H2, and coming in into beginning of 2021. So in terms of the business momentum, I would say we have never been in such a great situation. And it's fueling propelling mainly because of the e-commerce and probably you all read that the e-commerce growth or penetration in the last three months is equal to the penetration for the last 10 years. And within the e-commerce, the biggest portion of the biggest segment is the apparel is not only the biggest, it's the fastest growing segment. And a lot of it is now moving into digital, into on-demand manufacturing. So this is the growth. Now regarding the long-term, I would say that right now we feel very, very confident to deliver what we’ve promised more than a 1.5 year ago to our investors. We are aiming to deliver the $500 million run rate business during the 2023, in Q4, 2023 to deliver $125 million.
Chris Moore: Got it. I appreciate that.
Ronen Samuel: Regarding your second question, we believe that the split between ink and system will be very, very similar to what we see today. The potential in the market is still huge. We don't want to see the ink growing more than the 40%, which means that the system is going down. As we believe there's so many opportunities for put sockets in the market. We still want to see even in three and five years from now, the system and services at 60% range and supply in that 40% range. And this is how we base the model.
Chris Moore: Got it, very helpful. I appreciate it. I’ll jump back in line.
Operator: Your next question is a follow-up from Brian Drab with William Blair. Please proceed with your question.
Brian Drab: Just one question that I know a lot of people will be wondering about, as they look at the guidance. Has Custom Gateway been generating material revenue? And is that incorporated into the third quarter guidance? Can you say anything about what level of revenue they generate?
Guy Avidan: So, as I mentioned, the acquisition of Custom Gateway is a technological acquisition. The revenue is not material to Kornit, but yes, it was taken into account in our guidance.
Brian Drab: Okay. Ronen, can I just say, I don't want to push back too hard on that. But, as you look at your total revenue, you guys are at the third quarter run rate, over $200 million revenue company. So not material to some people, means less than 5% or something. Could this be a $10 million a year kind of business? Or is that too high like any more of a framework like more or less than $10 million or something like that you could share?
Ronen Samuel: No, it's less than that.
Brian Drab: Okay. All right. Okay, thanks very much.
Ronen Samuel: Thank you.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session, and I would like to turn the call back to Mr. Ronen Samuel for closing remarks.
Ronen Samuel: So thank you for joining today’s call, and we appreciate your continued interest in Kornit. We look forward to speaking to many of you throughout the quarter and to host you during the virtual fireside chat next Tuesday to discuss the acquisition of Custom Gateway and our strategic vision. We are very excited about the future of Kornit and the acquisition, and we wish you all good luck and be healthy. And, good night. Thank you very much.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.